Samaan Aziz: Good morning. And thank you for joining GasLog Partners’ Second Quarter 2015 Earnings Conference Call. For your convenience this call, webcast and presentation are available on the Investor Relations section of our website, www.gaslogmlp.com, where a replay will also be available. Please now turn to Slide 2 of the presentation. Many of our remarks contain forward-looking statements for factors that could cause actual results to differ materially from these forward-looking statements. Please refer to our second quarter earnings press release. In addition, some of our remarks contain non-GAAP financial measures as defined by the SEC. A reconciliation of these is included in the appendix of this presentation. I will now hand it over to Andy Orekar, CEO of GasLog Partners.
Andy Orekar: Thanks, Samaan. Good morning and thanks to everyone for joining us for GasLog Partners’ second quarter earnings call. I’ll begin today’s call with our financial highlights for the quarter and a review of our recent dropdown transaction. We’ll provide a brief update on the current trends in the LNG market and conclude with the review of our dropdown pipeline outlook for future growth. After our presentation, we’d be very happy to take any questions you may have. Turning to Slide 3, you can see several highlights from what was an excellent second quarter. In June we executed our second dropdown transaction since the IPO acquiring three LNG vessels from GasLog Limited. As a result of the transaction, we expect to increase our third quarter distribution by approximately 10%. And please note this is an increase in our growth guidance for the third quarter from the previously announced range of 7%.to 10%. We successfully completed a follow-on equity offering to partially fund this acquisition. And we declared a quarterly cash distribution of $0.4345 per unit or a $0.738 per unit on an annualized basis. And once again, we achieved a 100% utilization across our fleet which enabled us to deliver a consistent performance of approximately $24 million in adjusted EBITDA and $14 million of distributable cash flow. Please turn now to Slide 4. Despite the volatile financial and energy markets, we continue to successfully execute the growth strategy we first laid out at our IPO last May. As shown on this slide, we completed our second dropdown acquisition on July 1st, acquiring three LNG carriers from GasLog Limited for $483 million, including $3 million of net positive working capital, which s effectively cash, resulting in a net purchase price of $480 million. These vessels have four-and-a-half, five and five-and-a-half years remaining on their charters with BG. And BG has the option to extend two of these three charters for additional period of either three or five years. In the next 12 months from closing, this acquisition is expected to add $72 million of revenues and $51 million in EBITDA to GasLog Partners. And as a result of the acquisition we plan to recommend to our Board a third quarter distribution increase of approximately 10% over the second quarter distribution we declared today. Turning now to Slide 5. In addition to this 10% distribution growth, our second dropdown provides several additional benefits to GasLog Partners. It increases our fleet from eight – from five to eight vessels, diversifying our operation, increases our annual revenue and EBITDA by more than 50%. Extends our average remaining charter life by six months to an average of 4.2 years. And increases our scale to execute future acquisitions while supporting greater trading liquidity in GasLog Partners’ common unit. With that I will hand it over to our CFO, Simon Crowe. Simon?
Simon Crowe: Thanks, Andy. And good morning and afternoon to everyone. I’m pleased that today we’re reporting another good quarter for the partnership. Over the last few months we’ve seen continued volatility in the equity and the energy markets. And in light of this I want to review GasLog Partners’ strong contract profile which includes the charters from our recent acquisition. As shown on Slide 6, our entire fleet operates under long-term fixed revenue contracts with no commodity or project-specific exposure. We get paid regardless of volume or production levels. And GasLog Partners has a very stable predictable cash flow from high credit worthy counterparties. And these cash flows are not impacted by market volatility. Please now turn to Slide 7. We continue to believe the outlook for LNG shipping demand is positive. There’ve been a number of positive developments during the quarter and post quarter end that highlight the momentum of new LNG supply and related shipping demand. The 13.5 million tons per annum led at Corpus Christi project received U.S. Department of Energy approval in May and final investment decision was taken shortly thereafter. The Cheniere-led Sabine Pass project announced that it taken FID on its fifth train of 4.5 million tons per annum after the quarter end. And now that these projects have entered into the construction phase, we expect off-takers will contract for vessels. In Australia the second 4 million ton per annum train at BG’s Curtis project has just started production. And a number of the other major projects such as Gorgon, Australia Pacific and Gladstone are expected to commence in the second half. We also expect the Angolan project which was shut down for refurbishment to be operational in the coming month. And Sabine Pass is also due to export LNG by the end of the year marking the startup of a major ramp up in U.S. exports. Of note, we have listed the expected dates of first LNG from each project but expect these projects to ramp up to full capacity over time. Some off-takers have delayed contracting vessels to match delivery with their specific volume. We expect additional vessel demand from these participants. In total, we see demand for 80 to 100 vessels over the current order book. Please now turn to Slide 8. Over $60 million per annum of additional regasification capacity is under construction. These projects are scheduled to be complete by the year-end 2016. More than 50% of this amount is under construction in China and India. And over the next decade these countries are expected to have significant growth in LNG demand. Pakistan, Chile and Poland are also constructing LNG terminals. Jordan and Egypt finished regasification projects earlier this year. Ten other countries including Brazil, Lithuania, Israel and Thailand have become LNG importers since 2008. And several other countries have announced plans to build terminals. We expect these new non-traditional markets to help drive LNG demand over the coming years. In summary, we’ve had a good quarter in a difficult macro environment. We performed better than others and that made throw up some interesting opportunities for us to take advantage of. We’ve executed as per our plan and in many cases have exceeded expectation. And we look forward to continuing the growth we have outlined. And with that I’ll now turn it back to Andy.
Andy Orekar: Thank you, Simon. As part of our prepared remarks today we wanted to spend a minute on what GasLog Partners have achieved to date and the highly visible future growth opportunity that remains in front of us. Turning now to Slide 9, you can see despite the ongoing volatility in the financial markets. GasLog Partners had continue to execute its strategy and deliver on the commitments we made to you at IPO. Our consistent operating performance and fleet growth has generated significant increase in our cash distribution. And our recommended increase for the third quarter would represent a 20% compound annual growth and distributions paid. We are very pleased to continue delivering against our distribution growth targets of 10% to 15% and we continue to believe that that target is achievable for GasLog Partners. Turning to Slide 10, this confidence in our growth target is supported by our multi-year pipeline of vessel dropdowns from GP Foster GasLog Limited. While we’ve dramatically grown our distribution in our short history, we have simultaneously replenished our dropdown pipeline to five additional vessels added in just the first two quarters of 2015. The table shown on Slide 10 provides a comparison of GasLog Partners today versus our asset base at the time it last made the IPO. We now fully own eight LN carriers operating under long-term contract up from just three at the time of the IPO. And we have 12 identifiable dropdown candidates, the identical number of vessels in our pipeline last May. To give you better sense of scale, these 12 vessels in our dropdown inventory represent approximately $250 million of annual EBITDA, all of which is generated under long-term contract and all of which GasLog Partners will acquire over the next several years. In addition to this highly visible pipeline our superior track record of growth has led to a premium yield among the marine MLP sector and we believe this relative strength enhances our ability to execute on third-party acquisitions. Today we feel extremely well-positioned to benefit from the current market dislocation and play a leading role as a consolidator of marine LNG transportation and infrastructure assets. While we continue to exceed our growth target we do not view this as a time to slowdown but rather a time to capitalize on opportunities where we may have a relative value advantage over our peers. Taken as a whole, our visible future plus our current yield of nearly 9% represents the highly compelling total return opportunity of more than 20% per unit holders of GasLog Partners today. Turning now to Slide 11, four points to conclude. In the second quarter we continue to successfully execute our strategy and delivered another strong operating performance. Our growing dropdown pipeline provides significant visibility for future growth. And remember that our first charter exploration is not until May of 2018 and so our current fleet is sold out for many years to come. Continued momentum in the global build out of both LNG supply and re-gasification provides an attractive backdrop for increased shipping demand. And we remain confident in our ability to deliver 10% to 15% compound annual growth and distribution, growth guidance we first set out at the time of our IPO and continue to believe in today. That brings us to the end of our presentation. Operator, could you please open the call for any questions.
Operator: Thank you. [Operator Instructions]. We will now take our first question from Fotis Giannakoulis, company Morgan Stanley. Please go ahead. Your line is open.
Fotis Giannakoulis: Yes, sir. Good morning, guys and congratulation for the good quarter. I want to ask you about your future dropdowns. Obviously you just did one and we are expecting to see the dividend increasing. Can you remind us again what is going to be what is the way that you think about your dividend increase every time? And how the current stock price is impacting your future dropdown targets given the fact that the stock right now is trading probably below NAV and very close to the book value?
Andy Orekar: Sure. Hi, Fotis. Good question. I think – first of all, I would agree with your last comment which we feel the units are very much undervalued right now. And so we were quite pleased to be in and out of the market last month and able to achieve such strong distribution growth for next quarter. We continue to run ahead of our growth targets, so we have time on our side for the unit price to recover, which we strongly believe it will. And I think as you’ve probably seen in our strategy so far, we always like to be dropping down assets that extend our average charter duration in terms of the firm period. So that’s kind of how we think about the vessels to pick and the timing of such. We do have capacity to drop additional vessels down without issuing new common units. But given where we are today, again we feel like we have time on our side for the markets to more accurately reflect our value, which we of course think it’s certainly a premium to NAV.
Fotis Giannakoulis: I understand that you have your coverage ratio quite high right now. If I calculate, well at around 1.3. If you would bring time the coverage ratio to more normal levels how many vessels you would be able acquire without issuing any equity?
Andy Orekar: It’s a good question. You’re right that we’ve been running ahead of our target coverage ratio which is 1.125. And that’s obviously been a result of our strong performance and so many days of up time. I think we’re still comfortable with that as a long-term target. And so I don’t expect to change the target ratio anytime soon. But as you say, if we continue to run far in excess of that it may give us another lever to pull as far as additional distribution growth. But we’ll just have to see over time as we continue to perform against that target ratio.
Fotis Giannakoulis: So…
Simon Crowe: If I can just add.
Fotis Giannakoulis: Yes.
Simon Crowe: I mean for us it’s all about the 10% to 15% per annum compound annual growth rate, that’s what we stated at the IPO. And as Andy said in his prepared remarks, we strongly believe that’s achievable for many years to come. As Andy said also, we’ve got a number of levers that we would pull including looking at the coverage ratio, but we think we set it at a conservative rate and we remain committed to that. But there are a number of things that we can do. And as Andy said, we expect the unit price to recover strongly because we think we’re very much undervalued and underappreciated at the moment. So we remain on track. The track record I think speaks for itself. And we remain committed to that 10% to 15% growth going forward. And that will dictate the pace and timing of both what we do.
Fotis Giannakoulis: Thank you, Simon. What I’m trying to understand is what kind of alternatives do you have other than raising equity and waiting until the stock price to recovery in order to fund additional growth. And if you are willing to take any of these alternatives, if you see that the overall market then is not helping the stock price, because what we understand what is happening right now it doesn’t have so much to do with GasLog, but pretty much with overall energy market.
Andy Orekar: We’ll evaluate all the alternatives and we will evaluate what’s in the best interest of the unit holders and the best interest of GasLog Partners to achieve it’s stated objective. And we remain committed to those objectives. So as you’re right, you said there are number of levers and a number of things that we can do. And we’ll evaluate them to make sure that we’re creating the maximum value that we can at that point in the cycle with the given macro environment. So we’ve proven our track record over the past 12, 15 months. And we intend to continue delivering strongly against our stated aims.
Fotis Giannakoulis: Are you in the position to name these alternatives or it’s something that you can disclose at this point?
Simon Crowe: No, I think at this point there are a number of alternatives and you’ve identified some of them. And we’ve seen other people do things and we have alternatives and options and different levers to pull as Andy has mentioned. So we will just sit down and evaluate those as we move forward. But we’re really pleased with what we’ve done, we’re really pleased with what we’ve done, we’re really pleased with what we’ve delivered and we continue to remain committed to delivering that and giving value to our unit holders. And we expect the unit price to recover.
Fotis Giannakoulis: Thank you, Simon. A couple of questions about the overall market. We’ve seen that at least the spot market is quite weak. I understand that you don’t have any exposure for the next three years. But I want to ask about the period market. If you see any activity in time charters and when do you expect that these projects if they come online in early 2016 or later in 2016 will conclude new charters that will increase potentially further your pipeline? And also regarding your existing charters that they expire in 2018, are there any discussions at this point for potential extensions or this is something for the future?
Andy Orekar: Sure. Fotis, its Andy. So I guess I’ll be starting with your last question. As you correctly point out, it’s a bit early to be discussing the options on the – given they are so many years out. But you know the term – you’ve heard us say this before, the term business has been very consistent despite the volatility that you referenced in the spot market. And so some of the more recent term deals, including the BP deal, I think we’re done at very consistent rates with the overall long-term average for our term charters, and very much consistent with the rates we have in our. So we continue to be very bullish on the term market. And as you noted, the U.S projects in particular are reaching a stage where they’re beginning to arrange shipping on a larger scale, that’s just really picking up now. And so we expect that to be a big driver of growth for both the GasLog companies over the next several months and years.
Fotis Giannakoulis: Is it – do you have…
Simon Crowe: Yes, I think Andy – and just to add to that. Sorry, so I’ll just add to that, Andy, Fotis. I mean I think – yes, the term market, I think we see a lot of new capacity coming online from the U S and from Australia. And we think that will throw up opportunities for more term business, especially at GasLog Ltd., and we’ll comment on that in GasLog Ltd.’s earnings call next week, I’m sure. But also I think we’re at a position of strength here. We’ve got a very solid platform with GasLog Partners. Third party opportunities of on-the-water ships come along, so acquisition opportunities come along. We’re going to look at those very carefully. And I think the weakness, the silver lining in a weak market is that there is opportunities where others are weak and cannot sustain that weakness. So we will continue to look at that. And it may throw up some interesting things, and we’ll continue to monitor, we’ll continue to be disciplined about it and we’ll continue to keep a solid strong balance sheet, a strong platform so that we can potentially move on those quickly. We’ve developed a reputation here. And if there are third- party opportunities that come out of this weak short-term market, which may well do, and I’m not confirming any at this point, but we’re – you know that we’re looking, we look all the time, we’re evaluating those opportunities and we’ll have to see what comes along.
Fotis Giannakoulis: And but do you have any estimate of how many vessels that are still needed, that they have not been contracted for 2016 from – for the U.S and Australian projects? And also if you can comment about slide 8. I mean this is the first time that you present the big growth in regasification capacity. And I was wondering why is that an – if you see any opportunities on the regasification side for you. I’m talking about [FSRUs] and if there are any thoughts of expanding as a group into this area and what kind of steps would you have to take if you have the technical capabilities to get into this sector?
Andy Orekar: So I’ll take those I guess in order. So I think as we noted in the presentation, we see demand for an additional 80 to 100 vessels over the current order book. And a large part of that is driven by the U.S and Australian projects that we referenced on slide 7. We’ve added to U.S. projects, this just being a little bit further away from first LNG, they have more shipping to arrange than Australia which are really right on the doorstep of producing here for the ones that aren’t producing already. So that’s it, that’s obviously a significant number relative to the current global fleet of LNG ships which you know. On the regas side, I think we wanted to provide some perspective on that because it’s – it’s really being built-out in the key demand areas for LNG that I know you follow closely. And much of this regas as you see in China and India is coming online this year or next. So this is very much a near-term phenomenon that’s part of a global build-out of the infrastructure. And so as we think about where a lot of LNG is going to go from the U.S and Australia, these are obviously the logical markets. So it’s really to give you a perspective on that. As I mentioned, we do think other infrastructure assets around LNG are interesting attempts to play this global growth. But this was really more just to give you a sense of the market outside of the U.S. and Australia projects.
Fotis Giannakoulis: Thank you very much guys. And congratulations for the good quarter.
Andy Orekar: Thank you, Fotis
Simon Crowe: Thanks, Fortis.
Operator: Thank you. We now take next question from Christian Wetherbee Citigroup. Please go ahead. Your line is open.
Prashant Bhatia: Hi, good morning guys. This is Prashant in for Chris My first question really has to do more with the – I guess, a market question, how should we be thinking about the Panama Canal expansion as far as it affects the short-term market. And I guess with a view more towards its longer term I know, but what that might mean for the re- charter market as some of these – as some of your charters come up, the earlier ones up in 2018?
Andy Orekar: Hi, Prashant, it’s Andy. I think – I guess a couple of comments on the Canal. I think the – it’s hard to identify exactly, at least from where I sit, how that will affect our re-chartering opportunities for 2018. It’s just a little soon to give you a precise view on that. But I would say that the Canal widening will give an opportunity for trades to be economic that aren’t today. And so despite what you may have heard or read, there should be more trading opportunities for LNG if that opens up. And that just means more demand for ships, and obviously that means greater rate strength for ships. So I think it’s something we’re quite bullish on broadly speaking. But too soon to say how it’s going to affect our first rollovers.
Prashant Bhatia: Okay, great. I guess a follow-up on that. There’s been some talk about some change in trade routes, both with the Panama Canal opening but also with a little bit of fluctuation in production possibly in Europe. How should we be thinking about in those trade routes or where we’re seeing LNG shipping movements, U.S. to Europe versus U.S. to Asia? Are you seeing any talk about a meaningful diversion from what the status quo is now or is this sort of – also it’s kind of too soon to tell?
Andy Orekar: I think it’s a bit soon. We’re of course expecting a significant amount of new market opportunities to come online with the U.S beginning here in the fourth quarter and then rolling out from there. So I think the trade routes are still – I think to be determined when you have significant supply leaving this part of the world for the first time. And of course the regional differences in LNG prices will continue to vary and evolve. And we’re not expert in necessarily knowing how and when those will deviate or necessarily come back together. So I think what the sort of next key market event for understanding these routes is really big volume coming from the US. I think the Australian volumes are a bit more predictable because they’re so close to the major demand centers there. But I think the U.S. is the key one we’re watching.
Prashant Bhatia: Okay, great. And then last question.
Simon Crowe: And just to add to that.
Prashant Bhatia: Yes.
Simon Crowe: Sorry, just to add to that. I mean anything from the U.S. really quite frankly is incrementally good. It’s longer than the average distance of sort of about 4,000, 4,500 nautical miles. U.S to Asia is 9,000 miles. So it’s incrementally all good news when the U.S comes on because it will be going a long way and that’s good for shipping.
Prashant Bhatia: Okay, great. And then final question guys. The outlook that you’ve provided in every quarter on the conservative outlook on production that’s coming online in the next few years has been very helpful. And obviously there’s increasingly maybe incremental bearish views on that. I was wondering what do you think the maybe some of the more negative sentiment holders get it wrong in terms of are there any key projects that you think are being maybe (inaudible) a little bit too much or where maybe the street might be underestimating the total opportunity of the ones that you’ve provided. Anything that particularly stands out?
Andy Orekar: I guess I would say from the progress you’ve seen from companies like Golar and Delfin and some of these smaller scale liquefaction which are really again outside the scope of our business model. I think if anything we continue to feel that we’ve been highly conservative. And these are really the money good projects that we’ll produce and will produce on time. But there is several other what I thought calls for liquefaction solutions that appear to be gaining great traction and are almost certain to add incremental volumes to the market which is all good for our business. So there is – I wouldn’t want to go name by name, but there’s a number of other projects that from at least where we sit appear to be getting quite good commercial traction that would be incremental to what we’ve shown in our presentation today. So again, we feel as the market evolves and the global LNG price evolves a bit, people seem to be coming up with additional solutions to get more liquefaction online.
Prashant Bhatia: Okay, great. And do you have – would you be able to put like a ballpark on how big that incremental additional opportunity or production would be, just roughly?
Andy Orekar: It probably would be a false precision for me to give you that right now.
Prashant Bhatia: Okay, great.
Andy Orekar: Other than saying we feel very good, we feel incredibly confident about what we’ve shown in our numbers because we again think these are quite money-good projects.
Prashant Bhatia: Fair enough. Thanks guys. I appreciate your time.
Simon Crowe: So just to add, I mean some commentators have it doubling by 2050 from today. So that’s the sort of a ballpark figure, it’s about 150 million tons today and doubling to 500 million tons by 2030, but we shall see. But there a lot of projects that are coming on in the next couple of years that are, as Andy says, money-certain.
Prashant Bhatia: All right guys. Thank you very much. Appreciate the time.
Andy Orekar: Thank you.
Operator: Our next question is from Spiro Dounis, UBS Securities. Please go ahead.
Spiro Dounis: Hey, good morning gentlemen. Just sorry I drop off the line earlier, so I apologize if you covered it already. But just as a relief, maybe the size of dropdowns. I guess the first one is two vessels that are around $330 million, second was three vessels at $480 million. When we look at the remaining fleet I guess mostly left with high quality [PFE] vessels that they carry a higher price tag. So I guess as we think about the next drop and I respect that it’s maybe market-dependent to some degree, but will it be fair to say that they we’re probably going to go back to maybe the two vessel drop and maybe with a higher price tag around above $400 million.
Andy Orekar: Hi, Spiro, it’s Andy. Good questions. I think it – you said it best in your question, it really is market dependent. The two dropdowns we done we acted on because the currency was there, the timing was right, the evaluation was appropriate. And each one was a bespoke discussion even though they were of course all in our dropdown pipeline. So it would be really too thin for me to comment on kind of what the next one will be and how many. But you are right to say the vessels that are on the water in our pipeline now are largely [PFE] and are bigger vessels that generate more cash flow, and so will likely carry a higher sort of price tag per vessel in just absolute dollars. So it’s really just a question of where we can finance and doing a deal that makes us good stewards of our unit holders’ capital, and whether that’s one ship or two or three or more will really be based on the facts of the time. But we’re delighted to have this one, the most recent one done and be able to deliver the accretion that we can next quarter.
Spiro Dounis: Got it. No, that makes sense. And then just as far as the dropdown pipeline goes maybe – I think there’s still some assets up at [GLOG] that I think have charters either coming off for an option period maybe within the next few quarters. Could you remind us how many could be added to this dropdown fleet of 12 in the next few quarters?
Andy Orekar: Sure. So there’s 12 vessels, as you say, that are on charter today that GasLog Partners has right to acquire. There’s seven additional vessels that are either on charter for less than a five-year period or in one case the Skagen is on a seasonal charter so it’s not on charter for 12 months of each year. And so of course, as GasLog Limited continues to charter these vessels and put them under long-term deals there’s seven more that could be added to the 12. And that does not include the additional six options from the BG transaction this spring. So the number could be exceeding 20 if all of those hit. But again 12 vessels today which gives us several years of visible growth.
Spiro Dounis: Got it. And last one from me, just getting back to that consolidation scheme. I guess one, should we largely be thinking about that mailing around, I think it’s come up before, but floating LNG and FSRUs, are there any other type of infrastructure assets that would be interesting to you that kind of fit into your business strategy? And beyond that we’re talking about one-off bolt-on consolidation of individual assets or could we actually see you maybe take out some company sitting on the table?
Andy Orekar: I think the flip answer would be all of the above. But a more thoughtful answer would be I think – I think as we think about it of course carriers is our historical expertise and something we know incredibly well and continue to look very actively at opportunities there. I think that first step away from that would be something in regasification given I think we have the expertise and how to develop that and continue to grow that commercially. I think liquefaction is probably a step or two beyond where we are today, certainly, to put it mildly. But I think there are – there’s so much growth offshore and onshore with this sector as it matures and as the U.S really gets flowing that I think we’re open-minded, and if it can be economic and contracted and work in our MLP model, we’re very eager to evaluate it.
Spiro Dounis: Great, makes sense. I appreciate the color, guys. Thank you.
Andy Orekar: Thanks, Spiro.
Operator: Thank you. [Operator Instructions]. We’ll now take our next question from Hilary Kakemendu from Wells Fargo Securities. Please go ahead.
Hilary Kakemendu: Hi, thanks for taking my question. I was just curious, you have three vessels on spot right now. And just given the weak LNG carrier market I was wondering about the employment prospect, if you’re planning to leave those vessels on spot or if you have any longer term plans for those? Thank you.
Andy Orekar: Sorry, Hilary, just to clarify, those vessels are up at GasLog Limited not GasLog Partners. So maybe I’ll have…
Hilary Kakemendu: That’s right, that’s right. I’m sorry, I was looking…
Simon Crowe: They’re limited, so we’ll be making some commentary around the market next week on the GasLog Limited call. But just rest assured all the GasLog Partners are contracted on multi-year contracts with very solid cash flows with very solid counterparties, so. Hilary.
Hilary Kakemendu: Okay. So I guess we’ll look forward to hearing that. And then I guess all my questions have been covered. Thank you very much.
Andy Orekar: Thanks, Hilary. Thank you.
Operator: Thank you. As there are no further questions. I would like to turn the call back to the speakers for any additional or closing remarks.